Operator: Greetings, and welcome to the Weyerhaeuser Fourth Quarter 2020 Earnings Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Beth Baum, Vice President of Investor Relations and Enterprise Planning. Thank you, Ms. Baum. You may begin.
Elizabeth Baum: Thank you, Rob. Good morning, everyone. Thank you for joining us today to discuss Weyerhaeuser's fourth quarter 2020 earnings. This call is being webcast at www.weyerhaeuser.com.  Our earnings release and presentation materials can also be found on our website. Please review the warning statements in our press release and on the presentation slides concerning the risks associated with forward-looking statements, as forward-looking statements will be made during this conference call. We will discuss non-GAAP financial measures, and a reconciliation of GAAP can be found in the earnings materials on our website.  On the call this morning are Devin Stockfish, Chief Executive Officer; and Russell Hagen, Chief Financial Officer. I will now turn the call over to Devin Stockfish.
Devin Stockfish: Thanks, Beth. Good morning, everyone, and thank you for joining us today. This morning, Weyerhaeuser reported full year GAAP earnings of $797 million or $1.07 per diluted share, on net sales of $7.5 billion. Excluding special items, our full year 2020 earnings totaled $962 million or $1.29 per diluted share.  Adjusted EBITDA was $2.2 billion, more than 70% increase over full year 2019 and the highest EBITDA performance in nearly 15 years. For the fourth quarter, we reported GAAP earnings of $292 million or $0.39 per diluted share, on net sales of $2.1 billion. Excluding net after-tax charges of $69 million for special items, we earned $361 million or $0.48 per diluted share for the quarter. Adjusted EBITDA was $657 million, or more than 150% higher than fourth quarter 2019.  I'd like to open this morning by expressing my sincere gratitude to our employees for their exceptional performance, dedication, resiliency and flexibility in 2020. Our people maintained a safety focus, continued to serve our customers and delivered strong results in the face of unprecedented operating and market challenges. All of our businesses executed exceptionally well, further strengthening our unrivaled portfolio of assets, improving our industry-leading operating performance and positioning the company to drive superior long-term value for shareholders.  I'm extremely proud of our accomplishments in 2020, which included: delivering a record-breaking $1.5 billion of adjusted EBITDA from our Wood Products segment, a more than $1 billion increase over 2019; capturing approximately $100 million of company-wide operational excellence improvements, significantly exceeding our annual target; achieving record low controllable manufacturing costs in our lumber operations; strategically upgrading our Oregon Timberland Holdings; reducing gross debt by more than $900 million; introducing a new dividend framework that is sustainable across market cycles; reducing employee and contractor serious injuries by over 50%; and launching a new sustainability strategy.  Before I discuss fourth quarter business results, let me first make some comments on the housing market. U.S. housing activity continued its torrid pace throughout the fourth quarter, with no seasonal slowdown in building activity. Total U.S. housing starts averaged 1.6 million units for the fourth quarter on a seasonally adjusted basis, an improvement of 11% over the third quarter.  Single-family starts were the primary catalyst, improving nearly 20% quarter-over-quarter. Single-family now represents approximately 80% of new residential construction activity compared with 66% one year ago. Additionally, housing permits have surged to the highest level since before the Great Recession, reaching a seasonally adjusted 1.7 million units in December.  As we progress into 2021, we expect numerous macroeconomic tailwinds will continue to drive favorable U.S. housing activity, including a post-COVID preference for larger single-family homes, supported by ongoing work-from-home flexibility, mortgage interest rates near record lows, strong homebuilder confidence, record low inventory for existing home sales, demographic trends that support growing millennial homeownership while older adults are deciding to age in place, and the possibility of a federal tax credit for first-time homebuyers under the Biden administration.  U.S. homebuilders are seeing strong demand in January, with months of backlog, and this supports what we are hearing anecdotally from our customers.  Certain cautionary headwinds are worth noting, most notably, constraints relating to building materials as well as lot and labor availability challenges for homebuilders. However, the housing backdrop appears increasingly favorable, and we anticipate 1.45 million housing starts in 2021, primarily driven by continued strength in single-family activity. With an aging housing stock, rising home equity and low interest rates, we expect repair and remodel activity will also remain strong in 2021. Collectively, we expect these positive housing dynamics to be a tailwind for our businesses over the next several years.  Turning now to our fourth quarter business results. I'll begin the discussion with Timberlands on Pages 7 through 9 of our earnings slides. Timberlands' adjusted EBITDA increased by $37 million compared to the third quarter. Earnings increased by $297 million, which included a $182 million gain on the previously announced sale of certain Southern Oregon Timberlands. Western Timberlands' adjusted EBITDA increased $30 million compared with the third quarter, primarily due to higher average sales realizations for domestic and Japan export logs.  In the western domestic market, demand remained favorable throughout the quarter as mills sought to take advantage of strong lumber prices and replenish lean inventory positions following the severe fire season. Log markets were tight to start the quarter, particularly in Oregon, where some harvest operations were slow to come online as landowners prepared for salvage activity. As salvage operations commenced, log supply improved and pricing for smaller diameter logs softened, primarily in markets with significant salvage activity.  Our fee harvest volume increased by 9% compared with the third quarter as we fully resumed harvest operations and initiated salvage activity on our affected Timberlands in Oregon. We are not experiencing any downgrades and realizations on our salvage logs. Log and haul costs increased modestly during the fourth quarter due to higher safety and operational requirements, moderately lower yields and increased hauling distances to market, all associated with salvage logging activity in Oregon.  Turning to our export markets. In Japan, demand for our logs strengthened through the fourth quarter as housing activity improved and robust U.S. domestic lumber markets reduced the availability of imported lumber. Our Japanese log sales volumes and realizations increased significantly compared with the third quarter. Similar to Japan, the market for U.S. logs strengthened in China in the fourth quarter as container availability reduced the supply of European salvage and Australian imports were restricted due to pest issues. Our sales volumes to China increased significantly over the third quarter and average realizations increased slightly.  Moving to the South. Southern Timberlands' adjusted EBITDA increased $2 million compared with the third quarter. Southern sawlog markets improved modestly in the fourth quarter, as strong lumber and panel pricing drove steady demand and wet weather limited log supply in some Atlantic Coast markets. Fiber markets in most areas softened slightly as seasonal maintenance outages reduced demand, although the Atlantic markets remained more tensioned due to limited log availability.  Our fee harvest volume was slightly lower in the third -- slightly lower than the third quarter as we completed less spending activity due to the unusually wet October weather. Average sales realizations were comparable to the third quarter as improved realizations for sawlogs were offset by slightly lower fiber log realizations. Northern Timberlands' adjusted EBITDA increased $2 million compared with the third quarter, partially due to slightly higher sales realizations for hardwood logs.  Real Estate, Energy and Natural Resources, Pages 10 and 11. Real Estate and E&R contributed $14 million to fourth quarter earnings and $23 million to adjusted EBITDA. For the full year, the segment generated $241 million of adjusted EBITDA, slightly more than our revised full year guidance. Fourth quarter adjusted EBITDA was $37 million lower than the third quarter due to timing of transactions. Similar to 2019, our Real Estate sales activity in 2020 was heavily weighted toward the first half of the year. Average price per acre was up significantly compared to the third quarter and the year ago quarter due to transaction mix. Fourth quarter 2020 included an unusually high proportion of high value, small parcel transactions.  Wood products, Pages 12 and 13. Wood Products contributed $481 million to fourth quarter earnings and $530 million to adjusted EBITDA. I'm incredibly proud of our strong performance in Wood Products this year, despite significant operational disruptions and challenges from the pandemic. In 2020, our lumber and OSB businesses delivered the highest full year adjusted EBITDA on record. And our distribution business generated the highest adjusted EBITDA in over 15 years.  In the fourth quarter, demand remained strong across our product lines, with robust new residential construction activity, a limited seasonal slowdown in repair and remodel and favorable weather conditions for construction. Benchmark lumber prices entered the quarter at record levels, but declined sharply through October, as repair and remodel activity began to ease and buyers limited replenishment in expectation of a seasonal slowdown in housing. As the quarter progressed, strong construction activity, lean inventories and concerns about COVID-related supply disruptions drove buyers to step back in and pricing improved through December. On average, the framing lumber composite decreased 9% in the fourth quarter compared with the third quarter.  OSB markets performed at a stronger pace, with pricing softening only modestly in late November and rebounding shortly thereafter. Average OSB composite pricing increased 18% compared with the third quarter. EBITDA for lumber decreased $109 million compared with the third quarter. Average sales realizations decreased by 10% and Western and Canadian log costs increased significantly. Sales volumes were comparable to the third quarter.  OSB delivered a record $220 million of EBITDA during the fourth quarter, surpassing the prior record by $60 million, which was established just last quarter. Average sales realizations improved by 27%. Operating rates decreased compared with the third quarter. And unit manufacturing costs increased as we completed planned maintenance shutdowns at 4 of our OSB mills.  Engineered wood products' EBITDA decreased by $21 million compared to the third quarter as a result of higher raw material costs, primarily for oriented strand board web stock. Average realizations for solid section and I-joists improved slightly as we began to capture the benefit of our third quarter price increases.  In distribution, EBITDA decreased $13 million compared to the third quarter due to a modest seasonal reduction in sales volumes. Despite this reduction, our current distribution business established a new fourth quarter EBITDA record as demand remained above what is typical for this time of year.  Now I'd like to turn to operational excellence. Our employees continued an unwavering commitment to OpEx despite a very challenging operating environment. In 2020, our teams delivered approximately $100 million of margin improvements, exceeding our $50 million to $70 million target, while also capturing meaningful opportunities to enhance future value, avoid future costs and improve efficiencies across our enterprise.  In Timberlands, business -- our Timberlands business delivered $43 million of OpEx improvements in 2020, with notable contributions from initiatives to increase mechanized harvesting in the west, implement machine planting in the south and optimize our southern fertilization activity. The business also created significant future value through initiatives to reduce reforestation turnaround time, further enhanced seedling survival rates and improve data capture and analysis capabilities through expanded use of drones and LIDAR technology.  Wood Products captured $50 million of OpEx enhancements through a continued focus on controllable costs, mill reliability and enhanced product mix. This enabled us to achieve multiple operating records and milestones despite fluctuating operating postures in response to the pandemic.  For example, our lumber business achieved record low controllable manufacturing costs for the second consecutive year, and our OSB mills increased reliability and delivered record production volumes. The business has also avoided future costs through procurement and efficiency initiatives. In addition to these achievements, we captured $13 million of cross-business OpEx that improved margins in both Timberlands and Wood Products. Examples include an ongoing effort to ensure that every log we sell internally is routed to its most value-accretive mill, strategically flexing harvest volume to our internal mills to reduce out-of-log downtime. And flexing our wood products procurement to consume additional fee harvest logs during the pandemic-related market disruptions.  As we look forward to 2021, we're targeting another $50 million to $75 million of OpEx improvements across our businesses. And I'm excited to see the creativity, innovation and collaboration that emerges as we continuously strive to deliver industry-leading operating performance across all business segments.  I'll now turn it over to Russell to discuss some financial items and our first quarter outlook.
Russell Hagen: Thanks, Devin, and good morning, everyone. I'll begin our key financial items, which are summarized on pages 15 and 16. Cash from operations totaled $444 million for the fourth quarter and over $1.5 billion for the full year. This is our highest fourth quarter operating cash flow since 2007, and our strongest full year operating cash flow since 2005. We invested a portion of this cash back into our Timberlands and Wood Products businesses through capital expenditures, which totaled $281 million for the full year. Adjusted funds available for distribution, or FAD, for 2020, totaled $1.24 billion, as highlighted on Page 16.  We used a significant portion of this year's adjusted FAD to reduce our debt outstanding. During the fourth quarter, we redeemed our $500 million 4 5/8% notes that were due September 2023. We incurred a $58 million pretax charge on the early extinguishment, which is included in our results as a special item. We ended the year with just under $5.5 billion of total debt outstanding, which is a reduction of approximately $900 million in 2020.  This activity, in addition to strong 2020 EBITDA performance, has substantially improved our net debt to adjusted EBITDA leverage ratio, which, at the end of 2020, was 2.3x compared to a high of 4.9x at the end of 2019. With this reduction, our leverage ratio is comfortably below our target of 3.5x net debt to adjusted EBITDA over the cycle. We also have cash earmark to repay our $150 million, 9% note when it matures in the fourth quarter of 2021. After repayment of this note, we will have no additional debt maturities until late 2023.  In addition to improving our leverage, we returned over $380 million to shareholders during the year, which included reinitiating the dividend with a $0.17 per share base quarterly dividend, which was paid in the fourth quarter 2020. Overall, we ended the year in a strong financial position, with a sustainable dividend framework and a debt structure that is appropriate over the cycle and supports our solid investment-grade credit profile.  Turning now to our key outlook items for the first quarter and full year 2021, which are summarized on Pages 17 and 18. In our Timberlands business, we expect first quarter net earnings and adjusted EBITDA to be slightly higher than the fourth quarter. In our Western Timberlands operations, we expect our first quarter domestic log sales volumes will be comparable to the fourth quarter. Domestic mill inventories ended the fourth quarter at moderate levels, and log demand in the West remains favorable due to strong lumber markets. We expect first quarter domestic average sales realizations will be slightly below the fourth quarter average. We anticipate the first quarter fee harvest volumes will be comparable with the fourth quarter. We also expect Western road spending will be lower compared to the fourth quarter as our roadwork activity slows during the winter months.  We revised our 2021 Western harvest plan to focus Oregon salvage activities, and we currently anticipate salvage wood will comprise nearly half of the 2021 Western harvest volume.  We'll be front-loading this activity as we are not currently experiencing any price erosion for our salvage logs. Additionally, unit log and haul costs are expected to increase slightly compared to the fourth quarter. The salvage activity results in lower efficiency and increased hauling distance to market.  Moving to the export markets. In Japan, our first quarter average sales realizations and average sales volumes are expected to be comparable to the fourth quarter. Log demand remained strong as Japanese housing activity improved in the fourth quarter, and lumber imports to Japan remain limited. Chinese export log sales realizations and average log sales volumes are expected to be slightly higher in the first quarter. Demand remains solid, supported by an improving economy, government infrastructure spending and continued disruptions in the supply of log imports.  In the South, we anticipate fee harvest volumes will be higher than fourth quarter following the conclusion of our 2020 harvest reductions. Additionally, we expect average log sales realizations will be comparable to the fourth quarter. In the North, average log sales realizations are expected to be comparable to fourth quarter, while fee harvest volumes are expected to be slightly lower.  Turning to our full year harvest plan. For the full year 2021, we expect total company harvest volume will be approximately 34.5 million tons. We expect our southern harvest volumes will be up approximately 10%, and as we resume a more normalized level of activity following our 2020 pandemic-related harvest reductions. In the West, we expect our harvest volumes will be approximately 5% lower. This reflects the lower productivity on our salvage logging operations. We expect Northern harvest volumes to be moderately lower than 2020. This reflects the divestiture of our Montana Timberlands and softer demand for northern fiber logs.  I'll wrap up the Timberlands segment with a few comments on our fourth quarter Oregon Timberlands transactions. As Devin indicated, fourth quarter included a gain of $182 million on the sale of 149,000 Southern Oregon acres, which was reported as a special item. We reported a cash inflow of $381 million related to this sale and a cash outflow of $425 million for the purchase of 85,000 acres in mid-coastal Oregon Timberlands. The net cash outflow for these 2 transactions was $44 million.  Turning to our Real Estate, Energy and Natural Resources segment. Interest in our Real estate Properties remain strong. A shifting societal preferences during this time are driving robust demand for real recreational properties. We expect full year 2021 adjusted EBITDA of approximately $255 million. And we anticipate the cadence of our 2021 real estate activity will be similar to our cadence in both 2019 and 2020. Land basis as a percentage of real estate sales is expected to be approximately 45% to 55% for the year.  For the first quarter, we expect adjusted EBITDA for this segment will be modestly lower than first quarter 2020 due to the timing of transactions. We expect net earnings, however, to be slightly higher than the first quarter 2020 due to mix.  For our Wood Products segment, new residential construction activity carried forward from the fourth quarter at very favorable levels, and our builder and dealer customers are anticipating a strong first quarter. In repair and remodel markets, demand is expected to remain solid as rising home equity, continued work-from-home trends and an aging housing stock drive continued interest in home remodeling and upgrades. Channel inventories remain generally lean, with limited purchasing in advance of the spring building season. Excluding the effect of changes in average sales realizations for lumber and oriented strand board, we expect first quarter adjusted EBITDA will be significantly higher than the fourth quarter.  Production volumes within our OSB and engineered wood businesses are expected to increase during the quarter, following the completion of planned maintenance in the fourth quarter. We expect improved manufacturing costs across our product lines and slightly higher sales volumes, primarily for lumber and engineered wood products, while costs should be comparable to the fourth quarter.  Entering the first quarter, benchmark pricing for oriented strand board reached a new peak in January, and the framing lumber composite is also at near-record levels. For lumber, our quarter-to-date average sales realizations are approximately $210 higher, and current realizations are approximately $250 higher than the fourth quarter average. For OSB, our quarter-to-date average sales realizations are approximately $55 higher, and our current sales realizations are approximately $70 higher than the fourth quarter average.  As a reminder, for lumber, every $10 change in realizations is approximately $11 million of EBITDA on a quarterly basis. And for OSB, every $10 change in realizations is approximately $8 million of EBITDA on a quarterly basis.  For engineered wood products average sales realizations for our solid section and I-joist products will be modestly higher as we capture the benefits of price increases announced in August 2020 and January 2021.  Turning now to the major components of our unallocated items as summarized on Page 14. Fourth quarter adjusted EBITDA was $3 million lower than the third quarter, with unfavorable variances from elimination of intersegment profit in inventory and LIFO and the effects of foreign exchange rates, partially offset by lower variable compensation expense. The charge for the elimination of intersegment profit and inventory on LIFO was primarily driven by a seasonal increase in log inventories at the end of the fourth quarter compared to the third quarter, when inventories were below normal levels.  Moving to pension. In the fourth quarter, we completed the purchase of a group annuity contract, which transfers approximately $765 million of our U.S. pension liabilities to an insurance carrier. Contract purchase was funded from our U.S. pension plan assets, with no company cash contribution required. As a result of this transaction, fourth quarter special items included a $253 million noncash pretax settlement charge. The transaction is the latest in a series of actions taken to reduce our pension plan obligations.  We have now settled nearly $3 billion since the beginning of these efforts in 2018. For our pension and post-employment plans, the year ended 2020 funded status decreased by approximately $200 million compared to 2019, driven primarily by lower discount rates. Discount rates decreased by approximately 90 basis points for the U.S. plans and approximately 60 basis points for the Canadian plans. Cash paid for pension and post-retirement plans in 2020 was $30 million. In 2021, we do not anticipate any cash contributions to our U.S. qualified plan. Our required cash payments for all other plans will be approximately $25 million.  Excluding our fourth quarter settlement charge, our noncash, nonoperating pension and postretirement expense was $37 million in 2020. We expect to report approximately $35 million of expense in 2021. I'll wrap up with a few additional outlook items highlighted on Page 18. Our full year 2020 interest expense, before special items, was approximately $350 million. This excludes our early extinguishment of debt charges of $92 million. We expect interest expense will be $315 million for the full year 2021.  Turning to capital expenditures. We expect total CapEx for 2021 will be approximately $420 million, which includes $115 million for Timberlands, inclusive of reforestation costs, $300 million for Wood Products and $5 million for planned corporate IT system investments. Wood Products' CapEx is increasing as we undertake some of the high-return capital projects deferred last year, and began a multiyear project to modernize our strategic hold in Louisiana sawmill. Similar to the highly successful rebuilds of our Dierks and Millport sawmills, this project will significantly reduce the mill's cost structure, enhance its product mix to better serve market demand and optimize the equipment to more efficiently process logs from our adjacent timberlands. These improvements will also result in approximately 100 million board feet of additional production capacity. This will begin ramping up in 2023 when the project is completed.  Turning now to taxes. Our full year 2020 effective tax rate was 20%, excluding special items. For the first quarter and full year 2021, we expect our effective tax rate will be between 18% and 22% before special items based on the forecasted mix of earnings between our REIT and taxable REIT subsidiary. For cash taxes, we paid in net $76 million for the full year 2020. As previously discussed, we expect to receive a $90 million refund associated with our 2018 pension contribution in mid-2021. Excluding this refund, we expect our 2021 cash taxes will be generally comparable to our overall tax expense.  Now I'll turn the call back over to Devin, and I look forward to your questions.
Devin Stockfish: Thanks, Russell. In closing, I want to, again, thank our employees for their dedication, flexibility and adherence to our company values in 2020, despite being tested personally and professionally in ways that, frankly, weren't imaginable at this time last year. Notwithstanding these challenges, we achieved remarkable operating results, and I'm very pleased with the progress we made on numerous strategic initiatives. Looking forward, I'm excited by the opportunities in front of us this year. U.S. housing market has accelerated sharply, and we believe that strong macroeconomic and demand fundamentals will continue to support a favorable backdrop for our products.  The potential for a federal stimulus package from the new administration could also drive incremental demand for our products. Our manufacturing facilities are operating with unprecedented reliability and an industry-leading cost structure. We have a strong balance sheet and a dividend framework that enables us to return meaningful cash to shareholders across market conditions. In mass timber and climate Solutions, including potential opportunities relating to carbon, present exciting new sources of future demand.  Entering 2021, we're well positioned, and we remain steadfast in our pursuit to serve customers and create value for our shareholders through an unmatched portfolio of assets, industry-leading performance and disciplined capital allocation. And now I'd like to open up the floor for questions.
Operator: [Operator Instructions]. Our first question comes from Anthony Pettinari with Citi.
Anthony Pettinari: Devin, your southern log prices have been fairly flat over the past year, which kind of corresponds to the South-wide averages that we see from Timbermart-South. I'm just wondering, there seems to be some subregions of the South that are seeing real price tension and maybe some regions where prices seem challenged in the long term. I guess my question is, when we look sort of underneath the hood of that flat average price, is there any color you can give us on sort of the regional differences between what you're seeing maybe in your strongest submarket and weakest submarket?  And then you upgraded the Oregon footprint last year. With your balance sheet where it is, is there maybe a kind of a parallel opportunity or a bigger opportunity to upgrade sort of the regional footprint in the south?
Devin Stockfish: Yes. Maybe I'll take that in a few different pieces. Just, at a high level, Anthony, you're right. We are still seeing issues in the south that really -- it goes back to the Great Recession with the oversupply that we've seen in a number of markets. As you note, that, obviously, differs somewhat by market. And it's always important to remember that supply and demand are very wood basket specific.  Now as I would say, the good news is that we've seen a fair amount of new capacity coming into the South, about 6.5 billion board feet of new capacity over the last several years, some recent announcements on some new capacity. A couple of those are in wood baskets that should be very favorable to us, the [indiscernible] mill, Idaho Forest products mill in Mississippi. And we're expecting continued new capacity coming into the south in the coming years.  When we think about the submarkets, a thing to remember is that our business has scale across all major markets. And this really allows us to take advantage of stronger markets, such as the Atlantic region, really from Florida up through North Carolina. We have about 1.2 million acres in total across those regions. We're also starting to see some improvements in certain markets and other regions, Southern Arkansas, Central Mississippi, North Central Louisiana, some areas of Georgia and Alabama.  We're starting to see a little bit of tension in there that, I think, could continue to grow here over time. And then the other thing I would just mention is just the export markets in the South. As you know, back in 2018, we really had started ramping up our export programs primarily to China. With the tariff situation that came into play, we backed that off, but now the tariffs have come off. We've reaccelerated our export programs into China, picking up some India opportunities as well.  So that's another area, frankly, for those regions that have proximity to a port, to tension that up over time. With respect to the optimization work that we did in Oregon, that's work that is ongoing all the time. That's true in the West. It's true in the South. We've been doing that for quite a while, frankly, with Russell's new role and some of the work they're doing. I would expect that, that work will continue and perhaps even accelerate going forward. But again, we're going to continue to look for ways to drive value across our portfolio, and that will include optimization work for sure, both in the South and the West.
Anthony Pettinari: Okay. That's very helpful. And then just switching gears. I mean, with Biden taking office, there have been kind of a flurry of announcements on the first-time homebuyer credit and environmental plan, stimulus, maybe more moderate approach to China. Of what you've seen, what could be the most meaningful for Weyerhaeuser near term? Is there anything that can really move the needle in 2021? And then maybe any thoughts kind of on the long term?
Devin Stockfish: Yes. As with the new administration, there are going to be some puts and takes, and we're watching that closely. Tax, regulatory policy, those are things that we look for really in any administration to see how that's going to impact our business. But I do think, as you noted, there are some real opportunities for us with the Biden Administration. You mentioned a couple of them. A more normalized trade environment where we can avoid tariffs into China will help us continue to accelerate our export programs into that market, which should be a positive. I think, on the immigration side, a little bit different policy, perhaps, could allow some additional labor, both into the homebuilder market, which is downstream for us, but also even in the forestry side. And I think that could be a benefit.  The infrastructure plan, we'll see how that progresses. But to the extent that we got a significant infrastructure plan through Congress, that's something that could spur some additional demand for our products.  And then I think the big thing is really just around the environmental policies that come out of the administration around global warming and climate change. And that's certainly something that, I think, will find its way into every aspect of policy under the new administration. And I think that's something that could have some incrementally positive benefits for us. Since that falls squarely within Russell's new responsibilities, maybe I'll ask Russell, anything you want to mention specifically on the carbon side?
Russell Hagen: Sure. I mean, clearly, the Biden Administration is going to focus on climate change, and we're seeing some of the policy specific to carbon, starting to get framed up and discussed. The early actions that they've taken demonstrates that this is going to be a focal point for them. So I would say at a federal level, I don't -- I'd be surprised if we saw a carbon tax or cap and trade type structure. I just don't think the political will is there to pull something off like that. But I do think we'll see policies supporting climate change mitigation across all the federal agencies. And that could come in the form of purchasing preferences for wood-based building because of the environmental benefits of that, solutions aimed at forest health and then recognizing the benefits of carbon stored in wood. And so I think those are all very positive, not only for Weyerhaeuser, but for the industry as a whole.  So again, as they continue to focus on this area, we'll see more innovation, and we'll see markets continue to mature. And I think that's beneficial, again, for the industry and for Weyerhaeuser, in particular.
Operator: Our next question comes from George Staphos with Bank of America.
George Staphos: Congratulations on the results. I wanted to start with a top-down question for you related to housing and kind of the ultimate impact on demand. So you enumerated a number of things, demographics, the move towards larger single-family homes and these sorts of things. I would also imagine a benefit to housing would be hopefully improved employment and wages for that matter, too. That said, some of our contacts are beginning to get a little bit worried about affordability based on rates moving higher and home prices moving up even more quickly. So I acknowledge that the answer is probably going to be all of the above, but of the things that you talked about in your opening comments, what gives you the most confidence that housing can continue to move higher? What gives your customers that confidence, given what's been a little bit of a spike in the wrong way in terms of affordability?
Devin Stockfish: Yes. And I think you note the affordability piece is going to be a headwind. There's no question about that. In terms of just the confidence, though, around the building environment right now, it just -- it starts with overwhelming demand for homes. There is virtually no existing home inventory for sale at present. The new home inventory for sale is pretty low. And I think we've just hit a point where, whether it's specific to COVID or whether it's just the demographic trends have finally reached that inflection point, there's just a significant amount of demand in really all markets that we participate for more housing. And the builders are really -- they're confident that they're going to have a lot of building activity this year.  Certainly, I think to the extent that interest rates can stay relatively low in the near term, which seems to be the federal policy at present, that will be supportive. But in any event, it goes back to some of the things we've been talking about for years, which is, we've been massively underbuilding in the United States for over a decade. We need to build millions of homes over and above just kind of keeping pace with normal demand just to get back to even.  So I think there are a lot of tailwinds to support that, but you're exactly right. The affordability piece is the one that is going to have to be solved. But, in the near term, at least for 2021, we're feeling pretty positive about the construction setup for this year.
George Staphos: You had mentioned, switching gears a bit, this new sawmill project in Louisiana where you're rebuilding the mill much as you did with dirks and the other project, and you're adding about 100 billion board feet of capacity by '23. What else can you do across panels, across lumber to improve your ability to produce given, I imagine, in a lot of places you're more or less sold out. And as we just talked, demand looks like it's not stopping its growth anytime soon. What can you crank out of your mills, either with additional projects like Louisiana project or through productivity or additional shifts to get more capacity? And what kind of number would you put on that in terms of new capacity or creep?
Devin Stockfish: Yes. So just a few comments there. Just really briefly a comment on hold in. This is a project that we're really excited about. This mill is very strategically located. It's situated very well in terms of serving some key customers. It's surrounded by a significant amount of our fee timberlands. This new mill configuration. It's going to allow us to improve the product mix from the mill. We've got a great employee base there. So we're really excited about this. I think this is going to be along the lines of our Dierks and Millport mill in terms of just really a very low-cost, highly efficient mill that's going to make some great lumber over time.  In terms of the ability to flex up for additional volume in the near term, we are very focused on improving mill reliability across our footprint. And that comes into play in a number of different instances. And a good example of that, right? Is on the OSB side, where we hit a production volume record in 2020, notwithstanding the fact that we took a fair amount of downtime in the spring. And so those reliability improvements will provide extra volume across the system. And that's equally true from a lumber and an EWP standpoint. So there's going to be some volume creep that comes through that. And we're continuing to invest back in our mills across the system as part of our CapEx program. But what I would note is that those capital programs are largely focused on reducing costs, improving reliability and driving efficiencies in the system as opposed to being directly focused at increasing our volumes.  And so that's a long-winded way of saying, we are adding another 100 million of volume from our holding project, continuing to ramp up Millport, so maybe another 50 million to 60 million board feet coming off of Millport this year. And then just some additional flex from continuing to run our mills well, at least that's the answer here in the short term.
George Staphos: No, that's good color, Devin. A last one, if I could ask, what was the effect of the maintenance outage activity in the fourth quarter in Wood Products? If you could give us some sort of guardrail on what that might have impacted your numbers by?
Devin Stockfish: Yes. And so that was in our OSB business. And that really drove unit manufacturing costs up by $10 million to $15 million for the quarter.
Operator: Our next question is from Mark Wilde with Bank of Montreal.
Mark Wilde: Thanks. Devin, it's hard to imagine where we were just 9 months ago.
Devin Stockfish: Well, that is an understatement, Mark. I think, for sure. It's been a wild ride in 2020.
Mark Wilde: Yes. Probably something good for all of us to keep in mind. Just following on George's question. Can you give us some sense then of, beyond that $10 million to $15 million of maintenance in the fourth quarter, what we have that's kind of helping you from just operations and throughput standpoint in wood in the first quarter?
Devin Stockfish: Yes. So really, if you think about for Wood Products, Q4 to Q1, that's around $35 million net of any increases in OSB or lumber pricing. The majority of that, a little over half, is going to be on reduced manufacturing costs, and then the rest is going to be some incremental volume and a little bit of price as we recognize the increases in EWP.
Mark Wilde: Okay. That's helpful. And then if we continue on the current trajectory for the next 6 to 9 months, you're going to generate a lot, a lot of cash. Could you just give us some thoughts on how you would prioritize the use of tariff? Whether you might pull at supplement a dividend forward, whether you might be in the market repurchasing stock, whether you just would accumulate cash, what the priorities might look like?
Devin Stockfish: Well, we're optimistic that we are going to see strong markets over the course of 2021. And if that plays out, like you say, we're going to generate some very strong cash flow. As we've indicated with our new dividend framework, the plan is to return 75% to 80% of our 2021 FAD back to shareholders, both through the base dividend and then, ultimately, the supplemental dividend.  And any cash flow over and above that 75% to 80% of FAD would be available for growth, further debt paydown or, under the right circumstances, share repurchase. And so we'll continue to look at those opportunistically and allocate the cash to those opportunities that create the most long-term value for shareholders. And I would say Timberland's growth opportunities are an area that I would expect we'll continue to look closely at, both from just an optimization standpoint and growth more generally. But obviously, that's something that's dependent on finding the right deals that are accretive and strategic. And so we're going to continue to be very disciplined in that respect.  In terms of a potential interim supplemental dividend this year, as we mentioned, the new framework really anticipates that supplemental dividend is going to pay -- be paid out annually in Q1 for the prior year. And really, the reason for that is just to make sure that we're matching our variable dividend component to the cash flow that we're generating for the year. So generally, we're anticipating that, that first supplemental dividend would be paid in the first quarter of 2022 based on the 2021 cash flow. Now look, if things go really well, could there be a situation where we would consider some sort of interim supplemental dividend later in the year? Certainly, that's conceivable. I wouldn't shut the door on that definitively. But again, we're expecting that to be paid out annually in Q1 under most circumstances.
Mark Wilde: Okay. All right. And then the last one for me is just, we are more consolidation taking place in both wood products manufacturing with this West Fraser-Norbord deal. We're also seeing consolidation taking place in the building products distribution business. Can you help us think about the impact or implications of that for Weyerhaeuser's businesses?
Devin Stockfish: Yes. So comment on West Fraser-Norbord and the BFS-BMC deals. On West Fraser-Norbord, we have a lot of respect for both of those companies. Both Ray and Peter have solid teams. They're both very well-run companies. I'm sure the combined company will be very well run. These companies are both customers and competitors for us. And so we're going to continue to do everything we can to be good suppliers for them on the log side. And then, obviously, we'll compete with them in the lumber and OSB markets.  The BFS-BMC merger, both of those businesses have been long-standing customers of Weyerhaeuser. We've had really good working relationships with both of these firms. Dave Flitman has put together a strong team from the combined firm. And I anticipate we'll continue to have a great relationship with BFS going forward. And we'll work with them as we always have, to help find ways to create value in their supply chain and for their customers.  I think, just on consolidation, generally, I'm sure that there are still some opportunities out there in the market for companies to create value for their stakeholders through consolidation. Timing specifics, those things are always hard to predict, but I wouldn't be surprised if there's continued consolidation in the markets.
Mark Wilde: But do you see any implication for you in those businesses or not?
Devin Stockfish: Well, I mean, so we're always looking for opportunities to create value as well. And so I wouldn't comment specifically on any deals, but we're always looking for opportunities to improve the value of our portfolio. If you're asking specifically about the West Fraser-Norbord or BFS-BMC deals, I don't think those are going to have a materially -- material impact on any of our businesses. We'll continue to work with them as we always have and compete with them as we always have.
Operator: Our next question comes from Mark Weintraub with Seaport Global.
Mark Weintraub: Devin, one question, kind of following up on actually both George and Mark. So if you were to ballpark what production in lumber and OSB for you guys in 2021 might be, how much of a pickup? And kind of as a part of that, was there much in the way of COVID disruptions, labor force disruptions that affected your production levels during the year?
Devin Stockfish: Yes. With respect to the second part of the question, the answer is yes. We did take some downtime in the spring really across all 3 of our businesses. And so that did have an impact on our overall volumes for the year. As we think about 2021 relative to 2020, I think it's safe to assume we'll have a few percentage points of increased volumes across those businesses really as a result of both continued focus on reliability, but also just with the 2020 comp being down a little bit due to that market-related downtime in the spring.
Mark Weintraub: Okay. And then shifting gears to 1 area where you used to make a lot more money and the question being, can that be happening again sooner rather than later? And that's in kind of the western timberlands, where, obviously, your export markets used to be a terrific driver. Given that 1.45 million housing start forecast you're anticipating, what does -- does it appear that, that basket might get more tension, and we might see some real price action there? Or what would be your thoughts at this juncture?
Devin Stockfish: Yes. So I think the short answer is, yes. With this level of housing activity, just as a general statement, the western market is, by far, the most tension market in the United States. And a big driver of what kept log pricing down for really all of 2019 and a portion of 2020 was depressed lumber prices. And so what we've historically seen, at least in the recent past, is much of the benefit of lumber prices increasing will go back to the woods in the form of log pricing. But obviously, people are not going to pay more for logs that caused them to be cash flow negative. And so when you have low lumber prices, that does put some restrictions on your ability to increase log prices.  But as we continue to see lumber prices stay at healthy levels, the tension in the market will remain. Certainly, we've seen strong export markets. Coming out of Q4 into Q1, we expect that to continue. That's a japan statement. That's a China statement. So the market tension is there. It's really just a function of what lumber prices are doing.  The only caveat to that, Mark, is just, there will be a dynamic going on in portions of Oregon this year as landowners work through their salvage volumes. And so one of the things that we're seeing here, probably in the near term, is that, as all of the landowners, ourselves included, are working through salvage activity, what that typically means is that you're harvesting some stands that are younger than you would normally harvest. And so as we're out and we're harvesting stands that are in the low 30s as opposed to 40 to 45, we are going to see more chip and saw really going into that market. So that may have a little bit of a depressive effect here for a portion of 2021. But overall, the wood basket in Washington and Oregon remains fairly tensioned.
Operator: Our next question comes from Mark Connelly with Stephens, Inc.
Mark Connelly: This is one of the first calls we've listened to where we haven't heard a lot of warnings about transportation and logistics. So I was wondering if you could just give us a sense of how that is playing out now? And what do you think that's going to become a bigger issue for you?
Devin Stockfish: Yes. I'd say we didn't mention it specifically, but that does not mean that there aren't issues around transportation. Trucking availability in the south, in particular, is pretty tight and so a lot of companies are having some challenges finding trucking capacity in the South. The rail issues haven't been as significant this year as they have, in some years in the past, some tightness in certain geographies. But overall, not seeing the same magnitude of issue with rail. But again, I would say trucking capacity is a bit tight, particularly in the South, and folks are struggling somewhat with that.
Mark Connelly: That's still a pretty good situation to be in. And as you respond to the short-term market conditions in pulpwood, have you made or are you contemplating any substantial longer-term harvest plan changes? Or is it just too early way and see how much that goes back?
Devin Stockfish: Yes. As we think about -- this is primarily a southern statement because we have a much higher percentage of our logs that go into the pulp market in the South. As we think about our harvesting activity generally, we're looking at that on a regular basis because the point of how we manage our harvest is, obviously, we want to keep the growth in the harvest in balance over time. But on a year-to-year basis, we're looking at what's going on in the markets, and we're really trying to maximize the value of our timberlands over time.  And so as we think about 2021, as Russell mentioned, we are a little heavier to fiber in the South, and that's really catching up on some thinning backlog, which is really important from a silvicultural perspective, and we need to do that. But obviously, that does put a little bit more pulpwood into the market, and you don't get as many tons from thinning as you do from clear cutting. But the high-level answer is, we continue to look at that really on a year-to-year basis, looking at what's going on in the markets, what the different opportunities are for that wood.
Operator: Our next question comes from Kurt Yinger with D.A. Davidson.
Kurt Yinger: Two quick ones. First in Wood Products, you talked about the drag from higher log costs in the quarter. Is there any way to maybe quantify what that looked like versus either Q3 or fourth quarter '19?
Devin Stockfish: Yes. And that -- when we talk about the higher log costs, that's, obviously, primarily, in the West and in Canada. And the impact, for example, for lumber from the higher log cost in Q4 relative to Q3, within that $25 million to $30 million range. And so that's -- obviously, that benefits us as well. So we sell a lot of logs in the west. And so we get it in one pocket, but certainly, that was a little bit of a drag from a cost standpoint for the lumber business.
Kurt Yinger: Right. Okay. Makes sense. And then just lastly on engineered wood. Could you talk about how long you would expect to kind of fully get the August price increase in due realizations? And then I believe Russell noted an additional increase during January. I just wanted to make sure I heard that right and whether that was kind of a similar amount as the one in August as well?
Devin Stockfish: Yes. The January increase was 8% to 15%, and that varies by product and geography. And so we're in the process of rolling that through as a general matter with price protections that are building to contracts, et cetera, you usually get most of that within a year, the vast majority of it within 3 quarters and then just a little trailing, last a little bit within a year. But you'll get most of it within 6 months.
Operator: Our last question comes from Paul Quinn with RBC Capital Markets.
Paul Quinn: I guess, just an easy question. Devin, you're trading at quite a discount to your peers, Polo, Rainier, Mark, just wondering how you're going to make up that difference?
Devin Stockfish: Yes. So I think, obviously, a couple of things go into that. Number one, 2020 was an interesting year for us. We did take some action with respect to the dividend, putting a new dividend framework in place. And so I think there's -- some of that is people getting their minds around that. As you can imagine, we've had a lot of conversations with our investors since we rolled out that new dividend framework. Overall, I'd say the response has been pretty positive and supportive. I think people get the rationale and how it fits in with the business and the cash flows. But we still have to prove that out. And so I think that's a part of it. And we'll continue to look forward to delivering on the commitments that we made as part of rolling that new framework out.  So I think that's a piece of it. And certainly, we are in a position where we feel like the markets are pretty strong. They're going to be a tailwind for us. Our businesses are running really, really well. And so we're very well positioned to take advantage of that opportunity and generate a lot of cash, and we'll be giving most of that back to shareholders. And so, I think, as we deliver on that commitment, you should see that gap continue to close.
Paul Quinn: Okay. And just as a follow-up, any changes that you're anticipating on the portfolio side? And I just note that West Fraser-Norbord transaction over did put themselves up for sale in 2018, whether you looked at that asset?
Devin Stockfish: Yes. So for us, I would say, we're always looking on the Timberland side to continue to optimize and grow that timber portfolio. That's something we do year in and year out, and something we will continue to do going forward. And I'm really excited about some of the work Russell is going to be doing in that space. And so that's probably the most likely portfolio moves that we're going to make would be on the Timberland side.  On the Wood Products side, I think we like the assets that we have. And so I wouldn't anticipate big portfolio changes necessarily on the Wood Products' side. If we found a mill here or there, sort of a small bolt-on acquisition in the Wood Products space, we would look at that if the price is right and it's in the right locale. But in terms of large acquisitions on the Wood Products' side, I'd say that's not currently our focus.  Well, I think that was the final question. So again, thanks, everyone, for joining us this morning, and thank you for your continued interest in Weyerhaeuser. Stay safe, everyone.
Operator: This concludes today's teleconference. You may disconnect your lines at this time, and we thank you for your participation.